Operator: Good afternoon. My name is Saheed (Ph), and I will be your conference facilitator. At this time, I would like to welcome everyone to Intuit’s Fourth Quarter Full Year Fiscal 2014 Conference Call. (Operator Instructions) With that, now, I will turn the call over to Matt Rhodes, Intuit’s Director of Investor relations. Mr. Rhodes, you may begin.
Matt Rhodes: Thank you, sir. Good afternoon, everyone, and welcome to Intuit’s fourth quarter fiscal 2014 conference call. I’m here with Brad Smith, our President and CEO; Neil Williams, our CFO; and Scott Cook, our founder. Before we start, I’d like to remind everyone that our remarks will include forward-looking statements. There are a number of factors that could cause Intuit’s results to differ materially from our expectations. You can learn more about these risks in the press release we issued earlier this afternoon our Form 10-K for fiscal 2013 and our other SEC filings. All of those documents are available on the Investor Relations page of Intuit’s website at intuit.com. We assume no obligation to update any forward-looking statements. Some of the numbers in this report are presented on a non-GAAP basis. We’ve reconciled the comparable GAAP and non-GAAP numbers in today’s press release. Unless otherwise noted, all growth rates refer to the current period versus the comparable prior year period, and the business metrics and associated growth rates refer to worldwide business metrics. A copy of our prepared remarks and supplemental financial information will be available on our website after this call ends. Our fact sheet and press release include new disclosures and other materials to help you understand and model the financial impact of the strategic decisions that we’ll discuss today. And with that, I’ll turn the call over to Brad Smith.
Brad Smith: All right. Thank you Matt and thanks to all of you for joining us. I’ve been looking forward to today’s earnings call for two reasons. First because we have some positive results to discuss. And second because we want to share some exciting strategic decision that positions us for accelerated performance as we look ahead. Let me begin with the positive result. We closed down our fiscal year 2014 on a strong note with excellent momentum in each of our businesses. For the full fiscal year total revenue grew 8% and earnings per share increased 9%. The strong results we’re in the context of an acceleration file base subscription the shifted revenue in the future reporting period. The results also reflect the significant restructuring effort that we executed in our fiscal fourth quarter to reallocate resources to our online services and to drive a separate improvement in our product and customer growth. Adjusting for the impact of the related restructuring charges our revenue, our operating income and our earnings per share would have at the high end of our guidance range. Stepping beyond the current period result and even more excited about the choices that we’re making for the future. To sum it up, we’re fully committed the wining in the cloud. Over three decades we’ve navigated several platform shifts from Dos to Windows to the web and in every instance we see the opportunity to reimagine our offerings and extend our market leadership position and we’re doing it again. We’ve been delivering cloud based services for over a decade with more than 30 million Intuit customers using offerings across a variety of desktop and mobile devices. The benefits are clear, online experiences are simply better for customer. They expand our total addressable market and they generate more predictable recurring revenue strength. Today we’ll discuss several decisions to further accelerate our shift the cloud based services which will include changes that we’re making to our desktop product that will lead us to recognize desktop revenue overtime. The combination of these choices will create a transition year for fiscal 2015 financial reporting as we will explain this is a short term impact and we fully expect our fiscal 2015 results to return to double digit top and bottom line growth and alignment with financial principals. Our outlook for fiscal 2017 is a company approaching $6 billion and predictable recurring revenue and generating roughly $5 in non-GAAP earnings per share. Now with that context let me flip down and share my reflections on the company’s current period performance as well as the strategic choices that we’re making starting with our small business group. I’m quite encouraged by the increasing momentum and our QuickBooks Online ecosystem. This past quarter we reached a strategic inflection point with more new to the franchise customers choosing QuickBooks Online over QuickBooks Desktop for the first time ever. The achievement in this milestone was driven by two factors. First, the circular shift with the cloud is now in full swing for small businesses just as it was several years ago for our consumer businesses. This tailwind is in the early stages of development and it will continue for many years. And second, we’ve been accelerating this small business adoption at file services. Our catalyst is the success of our QuickBooks Online offering as an open platform This enables Intuit and third-party products to work together seamlessly in the cloud. The new QuickBooks Online is one of the biggest breakthrough products we have launched and it is leaving us with filling. QuickBooks Online subscribers grew 40%, up from 36% in the previous quarter. We added approximately 60,000 net customers in a seasonally slower quarter. We closed fiscal 2014 with nearly 700,000 QuickBooks Online customers and more than 1 million total QuickBooks subscribers. The new Online experience enables the seamless purchase of additional services as evidenced by our payroll attach rate improving to 19% in the fourth quarter, up from 16% a year ago. The attach rate for active payments customers is currently 5% also up from 3% in the prior year. These improved attach rates are contributing to an increase in the annualized recurring revenue for subscriber. And finally the new QuickBooks Online is a global platform which has significantly increased our total addressable market. Outside the U.S., QuickBooks Online subscribers were up more than 150% in the fourth quarter, further accelerating from the 130% growth last quarter. Now shifting to our consumer tax business, the team delivered an exceptional year. As the category champion, we helped drive digital category growth of more than 6% compared with assisted tax spread method such as tax stores declining 1%. The secular shift to do-it-yourself software is the continuation of a decade long transition to digital solution and our efforts simply added fuel to the trend. Within the software category TurboTax gained over 2 point of share, growing TurboTax online units 14% and total TurboTax unit 10%. Our investment in product improvement paid off with Web site traffic, conversion, retention and overall net promoter scores improved in every single dimension. Hitting the total key, consumer tax revenue grew 7% for the fiscal year better than our original guidance of 4% to 5%. But as we shared this was just a first year of a multiyear journey towards our ultimate product vision and the team has some exciting things in the pipeline as we look forward to the next half season. We also had strong results in our Pro-tax and consumer ecosystem businesses, both businesses exceeded their internal plan, their external guidance, they have a strong pipeline of innovative offering in the work and they are definitely looking forward to another strong year in fiscal year ‘15. When you sum up the results across the company, customer growth and more specifically subscriber growth is accelerated. Active use is improving, attach rates are increasing and global adoption has hit a stride which takes me to my second reason, we are looking forward to today’s call. The explanation of several strategic choices that we have made that will enable us to further accelerate the growth of our online ecosystem. First, as I mentioned earlier, we restructured our small business organization in the fourth quarter to increase the focus and investment on the QuickBooks Online ecosystem. The actions that we have taken improve our speed of decision making, prioritize key functionality and compliant services that are necessary to win in each of the global geographies and they include some soon to be announced initiatives that will make it even more attractive for accountants and their clients to sign up for QuickBooks Online. We have increased our investment in R&D, sales and marketing and infrastructure to capitalize on a huge addressable market with our global-ready QuickBooks Online offering. Our demonstrated success in fiscal 2014 convinced us that now is the time to make this investment. Second, in support of our goal to win every cloud decision, we are making important product changes to continue to delight our QuickBooks Desktop customers, many of them will be cloud customers in the future. As you know roughly 4 million small businesses use QuickBooks Desktop. Our goal is to attract them with compelling online experiences and incentives to move to the cloud. To that end, we are strengthening our desktop products beginning in 2015 by delivering ongoing experience releases. These will continuously improve the product experience, support operating system update and provide access to connected services. These actions are designed to ensure that our desktop customers and/or accountants remain our most vocal advocates today and become our cloud customers of tomorrow. As a result of these changes to our desktop product, we will begin recognizing desktop revenue over time as opposed to upfront at the time of purchase. This change will apply to our future QuickBooks, Pro-tax and Quicken desktop products. This is a strategic decision in favor of the customer that will push about $400 million of revenue from our fiscal 2015 into deferred revenue that will be recognized in future period. We will provide all the relevant disclosures for you to see and model the financial impact. For our small business group, the combination of these decisions, positions us to more rapidly penetrate an enormous Global market with a proven Online ecosystem powered by the new QuickBooks Online and as I said the time to make these changes is now because the fruit point are clear. More specifically QuickBooks Online is opening new stores with 75% of the new QuickBooks Online customers being first-time customers to the Intuit franchise. The QuickBooks Online platform is increasing our ability to generate higher annualized recurring revenue through selling additional services seamlessly. To put the improved payroll and payments attach results in the perspective the annualized recurring revenue for a small business online ecosystem was up 34% this quarter. Adding the global opportunity and our total addressable market expansion 29 million small businesses in the U.S. and over 100 million worldwide it’s the only focus on the currently prioritized markets of Canada, the UK, Australia and India. The number of our weekly rose new subscribers that we’re adding in non U.S. market is currently averaging 2000 per week this is up from 600 per week just one year ago. And finally for the existing QuickBooks Desktop customers and their accountant, we have the best online solution and we will be introducing new initiatives to further set them to move to the cloud. As a result we do anticipate the number of desktop migrators will continue increase meaningfully in the coming year. On that note I’m going to turn it over to Neil to walk you through the financial details and our guidance.
R. Neil Williams: Thanks Brad. Let’s start with overall company results. For fiscal 2014, we delivered revenue of $4.5 billion up 8%, non-GAAP operating income of $1.6 billion up 6%, GAAP operating income of $1.3 billion up 5%, non-GAAP earnings per share of $3.49 up 9% and GAAP earnings per share of $3.9 up 9%. For the fourth quarter fiscal 2014, we delivered revenue of $714 million up 13%. Non-GAAP operating income up $2 million and GAAP operating loss of $73 million. Non-GAAP loss per share of $0.01 and GAAP loss per share of $0.14. We incurred charge of approximately $40 million in the fourth quarter primarily as result of the small business restructuring effort that Brad explained earlier. This impacted our non-GAAP and GAAP operating income and earnings per share. We also sold our 11% stake in Reckon, which generated a gain of $21 million in GAAP results. We’ve included a bridge in the factsheet to illustrate this impact. Turning to the business segments, total small business revenue grew 12% for the quarter and 10% for the year. Customer acquisition in our connected services businesses continues to be our primary goal and is driving growth in the QuickBooks Online ecosystem. QuickBooks Online subscribers grew 40% accelerating from the third quarter. Small business online ecosystem annualized recurring revenue grew 34% driven by retention and improved attach rates. Annualized recurring revenue is a new metric it will provide in our factsheet each quarter. We divide annualized recurring revenue as four times, the most recent quarterly revenue for our online offering serving small business customers. This includes QuickBooks Online subscriptions, online payroll, online payments, Demandforce and QuickBooks. Within this context our online active payments customers grew 4% and online payments charge volume grew 24% driven by an increase in charge volume for user. Online payroll customers grew 25%. And global adoption of QuickBooks Online continue to accelerate as we finish the year with 84,000 paying QuickBooks Online customers outside of the U.S. up from 32,000 a year ago. As the adoption of the cloud becomes more prevalent and we focus our energy and resources in this area our recurring revenue will increase and QuickBooks Desktop unit will continue to be flat. In the fourth quarter desktop units declined 10% and for the full year they declined 10%. The decline in desktop units in fiscal 2014 was more than offset by growth of subscribers as total QuickBooks customer growth accelerated to 6%. We expect total QuickBooks customer to continue to grow next year as we emphasis the QuickBooks Online ecosystem even though desktop units and revenue will decline. We describe cloud is a better experience for customers it’s also a better business model for our shareholders, this is onetime revenue QuickBooks Online customers are greater than that are desktop customers and it increases the predictability of revenues. We provided details on our factsheet to help you understand the unit economics of our online and desktop ecosystems as we stand today and we’ll talk about the levels per growth as we execute against our top priority expanding the category for growing customers and share globally. There is one way to compare online and desktop using fiscal 2014 as an example. As you can see on the factsheet online ecosystem revenue was $592 million. Using ending QuickBooks Online subscribers of 683,000, we generated more than $800 in annual revenue per customer. On the desktop side, dividing $1.6 billion and fiscal 2014 revenue by $4 million customers, we generated less than $500 per customer. We have broadened our consumer tax business that we can use price and changes to our product lineup to effectively grow customers. We have also proven that we can build lifetime value through improved retention and attached services. To drive customer growth in QuickBooks online ecosystem, we will continue to experiment with pricing, promotions and bundles that deliver value for more end-users. We will also continue to improve attach and retention to enhance lifetime value. This is our strategy to accelerate growth in customers and revenue over the next few years. Now let’s look more closely at the financial impact of the strategic decision to provide ongoing support and services to our desktop customers that Brad described. This decision will affect future sales of QuickBooks and Desktop products for revenue we recognized ratably over approximately three years and our professional tax solutions where more revenue will be recognized over the entire tax year. For customers, this enables seamless product enhancements as well as better tier and online services ensuring that we keep our desktop customers happy and retain them in the Intuit franchise. They are our future online customers. For our employees, the strategic decision means clarity of work priorities, bringing up their time to build better online products and for shareholders this means more customers and faster growth longer term. Desktop revenue will now be recognized over time similar to how monthly subscription revenue is recognized. Now when we sell our desktop unit, the cash comes in, and our deferred revenue balance increases, so you will be able to easily track our progress on our balance sheet and cash flow statement. We are committed to transparency and clarity around the strategic decision that will make modeling our business easier over time as the predictability of our revenue increases. We expect these changes to lower fiscal 2015 revenues by approximately $400 million, increasing deferred revenue by the same amount. We have included a bridge in our press release and factsheet that will help you understand the impact of this change and revenue recognition and accelerated QuickBooks Online growth on our revenue guidance for fiscal 2015. So best way to gauge the success and health of our small business ecosystem going forward, will be through subscriber counts and annualized recurring revenue, will help you bridge reported results of the next few quarters to our historically reported results. Moving over to tax, consumer tax revenue grew 22% for the fourth quarter and 7% for the year. We will continue to invest in the product experience and to prioritize growth in share and customers above margin expansion. Pro-tax revenue grew 16% for the fourth quarter and 4% for the year. Our Pro-tax business also had a great season which much of our customer coming in higher value solutions. One thing that is not changed is our disciplined approach through capital management. For approximately $1.9 billion cash in our balance sheet, our first priority is investing for customer growth. We also look for M&A opportunities and in fiscal 2014; we made 10 acquisitions totaling approximately $550 million. We will return cash to shareholders via share repurchases and we repurchased a $152 million of shares in the fourth quarter, about $1.9 billion remains on our current share repurchase authorization. We reduced our share count by 4% net in fiscal 2014 and we expected to be in the market consistently in fiscal 2015. Our capital plans included cash dividend of up to a $1 per share for fiscal 2015 with the first quarter dividend of $0.25 per share payable on October 20. This represents a 32% increase versus last year and reflects our confidence in our business strategy and our large and growing cash position as well as more recurring and predictable revenue streams. Now let’s move onto guidance, taking into account the impact of the strategic decisions Brad described, our outlook for fiscal 2015 is revenue of $4.275 billion to $4.375 billion. Adjusted for the financial impact of the strategic decisions, fiscal 2015 revenue guidance would have been growth of 5% to 8%; GAAP operating income of $800 million to $830 million; non-GAAP operating income of $1.11 billion to $1.14 billion; GAAP diluted EPS of a $1.70 to a $1.75; non-GAAP diluted EPS of $2.45 to $2.50. Moving to our segment guidance for fiscal 2015, we expect QuickBooks Online subscribers of 925,000 to 950,000 for growth of 35% to 39%. Small business group revenue to decline 3% to 6% but adjusting for the changes we discussed revenue will grow roughly 10%. Consumer group revenue growth of 3% to 4% with Consumer Tax revenue growth of 5% to 7% and professional tax revenue decline of 34% to 37% but adjusting for the change in our product, our Pro-tax revenue grow approximately 5%. Guidance for our first quarter revenue, operating income, EPS and QuickBooks Online subscribers is available in our press release and our factsheet.  Looking beyond fiscal 2015, we provided a longer term outlook in our factsheet and press release. Beginning in fiscal 2016, we expect to grow revenues double-digits as we recognize the revenue we’ve deferred this year and continue to experience strong growth in our QuickBooks Online subscriber base in ecosystem. We expect to grow revenues faster than expenses generating operating leverage. For fiscal 2017, we expect QuickBooks Online subscribers of approximately 2 million, an increase from 683,000 today providing compounded annual growth of more than 40%. Intuit revenue of roughly 5.8 billion or 9% growth on average over the next three years and non-GAAP earnings per share of approximately $5, reflecting low teens growth on average over the next three years. We’ve shared mainly disclosures with you on our factsheet breaking our small business customer metrics and revenue disclosures clearly into online and desktop ecosystems. And with that, I’ll turn it back to Brad to close.
Brad Smith: All right Neil. You had covered a lot of stuff there buddy.
Neil Williams: That’s right.
Brad Smith: So let me start to summarize it. We reached the inflection point and we are seizing the opportunities. Our Company is focused on two strategic outcomes we’ve spoken to you about in the past; number one, to the operating system on small businesses expanse; and number two, to do the nations taxes. Our small business momentum continues to build and our QuickBooks Online ecosystem growth is accelerating, driving value for customers and for Intuit. We’ve reorganized our small business group and prioritized investments that will further accelerate our online ecosystem globally while ensuring the best product experience for existing desktop customers speeding up their move to the cloud. We have a proven formula to Intuit if we innovate into live customers with the absolute best solution in the market we will expand our category, we will grow our share and we will increase lifetime value over time. So we’re stepping on the gas to drive share gain and longer term growth opportunities in all of our businesses. We have lots of runway in front of us and we remain deeply committed to accelerating customer and revenue growth. And we’re going to talk more about these things and our strategy to execute against them at our Investor Day, which we’ll hold on our Mountain View Campus on September 30th, and we look forward to seeing you there. As always, I want to thank our employees for their hard work and their ongoing focus. And with that, let’s open it up to you to hear what’s on your mind.
Operator: Thank you (Operator Instructions) Our first question comes from Brent Thill from UBS. Your line is open please go ahead.
Brent Thill - UBS Investment Research: Maybe Brad for you and then one for Neil. When you look at the adjusted revenue guidance of 5% to 8%, it seems like on an apples-to-apples comparison from past years that is a little lower than where you’ve initially guided. It sounds like if I am bringing this trickling that the delta in that might be your willingness to be a little more aggressive on price. I am just curious if you could address that? And maybe for Neil certain we’ve all seen this will Adobe and oDesk the transition. But when you think about the very long term, and you think about the operating margin structure there is a lot of questions, is this more profitable or less profitable. I am just curious I know you’re going to give anything past $5 in range but is it, from your perspective, has this opened up an opportunity to effectively become a lot more profitable longer term? Thank you.
Brad Smith: Brent, thank you. This is Brad I’ll take that first one. First of all as you identified the guidance next year of 5% to 8% on an adjusted basis does reflect the fact that we’ve hit this inflection point and we realized the way to grow this company long term is to acquire new customers the licenses so that they stay and then earn the opportunity to sell additional services. We also recognized and in addition to focusing on customer growth which is the first of that formula that we need also have a good cross value relationship. And we’ve talked about pulling back a little bit on some of the dependency we’ve had on price over the years in some of our businesses and we’ve been making those decisions along the way like the simplified payments price that we talked to you about this year. When you put it all together there I think it’s important to look at the fiscal year ’16 and ’17 guidance we’ve provided where we’ve clearly articulated that we can see a return to double digit top line and bottom line growth. So this is a one year transition next year and it is a reflection of us being very aggressive about expanding the categories, growing customer growth and then earning the opportunity to sell additional services every time.
Neil Williams: And so Brent I would just say as it relates to the margin the outlook we’ve talked about for ’16 and ’17 clearly initiate we get back to where we were last year in terms of margin percentage. But as you know we talked about this a lot we really have operating income growth over margin expansion. If we can see more customer growth and more top line growth we will invest more and we’re really focused more on the operating income growth and the dollars over the long haul than we are in the margin percentages. And so we’ll see how that plays out and we’ll see what’s available to us and how much growth we get on the top line and that will determine how much we invest and spend. But as you seen now we’re expecting to get back in this same neighborhood a little better than we are today by the out years.
Brent Thill - UBS Investment Research: Thanks.
Operator: And our next question comes from Walter Pritchard from Citi. your line is open please go ahead.
Walter Pritchard - Citi: Thanks. Just I guess Neil a question for you; you did very clearly outlined on the revenue side the 475 million in tax. I’m wondering as we think about impact on EPS just thinking about 75 million as copying straight down in the bottom line in terms of EPS in fiscal ‘15 and then I just had one follow up as it relates to implication to that.
Brad Smith : The simple answer Walter is yes, I mean that’s why we think about it 475 drops all the way through and as you know these adjusted deferral of revenue out to prior periods for most of us so there is really no impact on marketing our build expense so it’s all margin compression.
Walter Pritchard - Citi : And it does looks like if I just adjust that out and it’s worth about $25 in fiscal ‘15 if I add that back to your guidance you’re slightly shy of where and maybe we’d expect you to guide in what the sort of margin progress you can only had over the years, that’s just incremental spend about beyond the transition behind kind of push online and other initiatives that have going for transition?
Brad Smith : I would say its two things Walter; first of all, it does reflect some additional investment an expansion outside of the U.S. and moving more of our engineering resources to online products and services. It also reflects that we didn’t buys many shares back in 2014 as we would have liked or as we had hoped. We were out of the market for a significant period of time during the pack season and you probably notice late in the fourth quarter our trading volume was unusually low for our shares. And so our original aspiration will probably get more shares brought in this year than we were able to accomplish and that’s piece of the EPS count.
Operator: Thank you. And our next question comes from Kash Rangan from Bank of America/Merrill Lynch. Your line is open. Please go ahead.
Kash Rangan - Bank of America/Merrill Lynch : Hi guys. Bold transformation, congratulations on this initiative. Can you talk about the implied acceleration just like fiscal ‘15 is going to find this year but as we look at the ‘16 and ‘17 there is an implied acceleration in your top line, how comfortable are you with that and what are your assumptions behind the acceleration maybe it pick up customer growth or ARR growth or attach payroll and payments, can you just walk through the quantitative consideration and also how should we think about your margin I know that your focus is on growing operating income but as we look at your $5 in non-GAAP earnings targeting fiscal ‘17 what is the embedded operating margin assumption behind it? Thank you very much.
Brad Smith: All right Kash this is Brad. Let me start with the first piece the implied acceleration. So first and forecast we’re going to have a benefit from the cash that will be collecting for desktop purchases in fiscal year ‘15 that we’ll show up as recognized revenue in ‘16 and ‘17 but the bigger driver is customer growth and subscriber growth and it’s recurring as predictable revenue and as you can see we continue to accelerate our subscriber growth in QuickBooks Online and that is the primary driver both in the U.S. and outside the U.S. a new global markets. And the second and third big drivers here is our ability to continue to deliver more delightful experience and so our attrition is being reduced and so customers are staying and actively using the product and last but not least as evidence by the payroll and payments attach rate that I talk about earlier is a much easier experience for additional services in QuickBooks Online and so as we continue to drive additional fast services we’re going to able to drop annualized accruing revenue. So there is a bankable set of revenue coming in from the ratable revenue shift and ‘16 and ‘17and we see continued acceleration of our subscriber growth which is job one in addition to that we’ll continue to improve retention and then we’ll have the ability to sale additional services which we’re already proven we can do in QuickBooks Online and that drop the acceleration in top-line revenue. And I’ll shift it over the Neil to talk about the margin aspect.
Neil Williams: Yes, I mean cash to get to the $5 a share that we’ve talked about 317 with that revenue level would indicate an operating margin in the mid to high 30s that’s probably one per week build the most confidence and we have the most ability to manage. Just going back to the comment I made earlier I’ll be totally fine if we get more revenue $5 a share with a lower margin percentage in the way we’re getting there now but our assumption we have today is that margins back in mid to half 30s by 2014.
Kash Rangan - Bank of America/Merrill Lynch: That’s truly tremendous guys I don’t cover many companies that’s have five bucks and earnings per share coming up pretty soon so congratulations on that.
Operator: Thank you. Our next question comes from Sterling Auty from JP Morgan. Your line is open. Please go ahead.
Sterling Auty - JP Morgan : Hi guys I want to start with I think there you made that the transition would be complete after one year, lot of times the subscription transitions take a couple of years to get to point where you’re seeing the normalized growth and normalized revenue contribution, can you just walk be through highway from here to completion in what timeframe. 
Brad Smith : Yes, let us tag team on this but two Sterling. First of all I think it’s important to recognize that we’ve been on this journey for some time we have a large number of customers already signed up on connected services and host the products. Across the company we talk about 45 million customers and little over 30 million are already using hosted products and through mobile devices. And so we’ve just reached this point in small business and then as a result we see it happening in the remaining businesses like pro tax we said let’s just move this entire model now to a ratable revenue model and let’s hit the gap on this file basis option. And so what you see right now is a relatively short transition period for us because we’re already so far down the journey and it give us the ability to bounce back quickly to the double digit top line and bottom line growth that we typically generate. Can you add to that Neil?
Neil Williams: Yes, Brad. It’s really just a couple of other comments just to remind you of. The QuickBooks Desktop and Quicken would probably be close to a three year life as we mentioned in the scripts and those are the longer but the thing to remember is that all of our online customers or most of them, the large part pay monthly. And so a pretty short transition period for those that are converting voluntarily from desktop to online services. As Brad mentioned, probably as much as the third of the impact of this ratable change is in our ProTax solutions and those products are amortized over the tax year, so it will be a little longer than a fiscal year period for us but not much longer maybe 15, 16 months. So, the traditional QuickBooks Desktop and Quicken customers who might be over a longer period time are relatively small part of the transition. So, that’s why it’s a little faster, the recoveries are little sooner than you might see with someone else.
Sterling Auty - JP Morgan : And when you get done, will you have any products where you are recognizing the revenue ratably but the use of the software could be used perpetually or everything will be finally on kind of a term years?
Brad Smith : Everything we have, Sterling, will be on a ratable accounting process. It is possible to use the desktop product, if you are not using any connected services and if you are not using any of the other products, we sale that required connectivity. It’s possible we continue to use it longer term. We don’t support it after a three year period of time and all of your connectivity will be terminated but you can still use it if you don’t use any of that.
Operator: Thank you. Our next question comes from Gil Luria from Wedbush Securities. Your line is open. Please go ahead.
Gil Luria - Wedbush Securities: Could you provide a little bit of free cash flow guidance just as a sanity check. It looks like your CapEx is going to up but the changes you are going through as you said are, you are still going to collect the cash up front. So, does that mean approximately flat free cash flow given the higher CapEx?
Brad Smith : We are spending a little more in CapEx net year, Gil, than we have. The last few years have been unusually low for us at about $150 or $175 million. We are constructing a new building in Mountain View beginning in 2015 and have some other calls that are pushing us above that, a little above $300 million. So, free cash flow will be roughly flat. Total cash flow up about 8% versus last year.
Gil Luria - Wedbush Securities: Got it and then in terms of the international success of QuickBooks Online, is there one of those particularly countries that’s doing particularly well and can you give us a sense ahead of Analyst Day what are some of your early takeaways about what’s driven that success?
Brad Smith : Yes, Gil, it’s Brad. Actually each of the four countries are outperforming the expectations we had set for ourselves and we have raised those expectations twice in the year. But it really is come down to -- we are treating each market individually in terms of making sure that we understand the local compliance needs. We are winning the hearts and minds of the accounts which are the secret sauce to every country that we are serving. We have great country leadership in each of the four prioritized countries that I mentioned earlier. And we are seeing the ability for us to get the same sort of adoption and then the word of mouth through high net promoter scores that we have seen in the U.S. So, we now have a formula, our team refers to it as a country in a box which allows us to move from country to country but that doesn’t oversee or it doesn’t overlook the fact that we have to make sure that we have the best product that is more local than the local competition and then from there we have to win the hearts and minds of the accountants and the customers who use the products that they will recommend it to everyone else. And that really has been the formula and we will dive a little bit deeper and show you some things at Investor Day but you are not going to hear a lot different at Investor Day than that, that is the secret sauce.
Operator: Thank you. Our next question comes from Raimo Lenschow from Barclays. Your line is open. Please go ahead.
Raimo Lenschow - Barclays: Thanks for taking my questions. Two questions from me. First, and to stay on cash flow, if I think about the 2017, should I have a better cash flow than net income at that point of time and is there any idea for you to kind of maybe start guiding on cash flow because given the more subscription focus of the business that will be your bigger focus? And then just a quick one for Brad on the desktop side and the new program that’s evolving out there, so how do I have to think about that? Is that kind of basically just trying to get them closer to online so that I convert them over time or you expect them to be still desktop customers and you just want to protect them from kind of going to someone else?
Neil Williams: Hey Raimo, this is Neil; I will start off with your first question. I do think we can provide more clarity around cash flow. We will do that at Investor Day, as far as where we are today and what our expectations are, I wouldn’t necessarily expect cash flow to outpace revenue by the time you get out to 2017 and beyond. But as I mentioned earlier our model is for most customers to pay us monthly that indicates they have got high engagement with the product and it’s the way that really encourages and accelerates customer growth. I think about that more between and my first reaction is I wouldn’t expect cash flow to be significantly faster growth than customers or than revenue by the time we get fully implemented into ratable.
Matt Rhodes: And Raimo, it’s Matt. Cash flow growth should be steadier because we are still getting cash from those customers, by the products on the desktop side and you are going to see revenue growth and earnings growth we pick up as we recognize the revenue in later years but the cash will keep coming in so the growth is going to be a little steadier there. You will see more acceleration on revenue growth and op income of EPS growth. 
Brad Smith: And Raimo I’ll take the second question and I am glad that you asked that because it gives me a chance to explain it for everybody on the call. So you asked about the desktop announcement that we made today and why we’re going to provide ongoing releases. And what does that mean in terms of the outcome for customers. So let me start by saying what is does not mean is adding new features to QuickBooks Desktop, we described these as experience releases because we have the opportunities to build more self-help, eliminate some of those mid-wing things that we know of them getting in the way of desktop users today and also connect some important services like EM voicing or what we talked to you in the past is Intuit commerce network the ability to send an electronic demo voice and they get paid back electronically and move that money in a frictionless way. Those kind of services we know we’re gliders and the really important to keep is customers happy and in the Intuit franchise. So that’s what we wanted to do. Why we’re doing that is because not only our small businesses getting increasingly comfortable with the cloud but as you know the accountants relationship is critical and we have accountants out there today who have some of their customers in the cloud of QuickBooks Online and some of their customers in the Desktop and what we want to be able to do is make sure we support both of those customers and keep them as Intuit advocates. And then as they get increasingly more comfortable their accountant along with our own incentives and our opportunity to earn their trust we will move them to the cloud. Ultimately, our goal is to get them very comfortable with the cloud and help them move to the future because we absolutely know that is a better experience for them it’s a better experience for their accountants and it’s a win overall. So what we’re doing right now is we’re not leaving any of our QuickBooks Desktop customers behind but we are putting all of our new energy, all of our new features and all of our opportunities into the cloud and we’re going to help those customers make it to the cloud on their time frame, not ours.
Operator: Thank you. Our next question comes from Jennifer Lowe from Morgan Stanley. Your line is open please go ahead.
Jennifer Lowe - Morgan Stanley: My first question maybe just a follow up on the thought there Brad. You talked in the past about the ability to charge a premium for QuickBooks Online because it’s a premium experience. To the extent that you are rolling in some of these new experienced features for the Desktop product, does that give you more flexibility on Desktop pricing?
Brad Smith: Jen, one of the things I would like to not do today is talk a lot about pricing because we haven’t announced anything and we’ll do that a little closer so when we release products and we meet you at Investor Day. What I would say though is that we’re clearly looking for the opportunity to incentivize customers to move to the cloud. And as you mentioned, today Neil described we get about $800 in annualized recurring revenue with QuickBooks Online today and it’s a little less than $500 on the Desktop. We have opportunities in both areas so look at different pricing strategies and different bundling strategies to help customers move to the cloud and we’ll talk more about that as we go down the road. But ultimately our ultimate goal was to make sure we’re delivering a good value for the price so the customer’s stays with us and does not chose another alternative and you will see that show up in some of the decisions that we’ll make in the coming months.
Jennifer Lowe - Morgan Stanley: And I have a question hopefully a quick one, everyone is asking about small business but that’s only one of the major franchises you have. As you think about the fiscal ’17 guidance and overlaying that with some of the commentary around last year being kind of a rebuilding year in the tax business and then expectations of the growth there should improve over a multiyear horizon. Is there any expectation in that fiscal ’17 guide that there will be an improvement in the growth rate and tax?
Brad Smith: Thank you, Jen we do have a lot of other good businesses here and I have to say our consumers have seen us probably start a little bit tax hasn’t come up yet until this point in the call. So that’s very exciting for a lot of reasons. And we have provided a multiyear guidance on the tax business the 5% to 10% obviously this year we delivered 7% and we said that this is the first year of a multiyear journey and we’re encouraged about some of the things our team is working on for next year. But we aren’t this point prepared to adjust anything. You can assume that as we look at our long term model that’s the guidance that’s kind of giving us the confidence that we can put out there in 2017 outlook what we did today and still pretty confident in it.
Operator: Thank you. Our next question comes from David Togut from Evercore. Your line is open please go ahead.
David Togut - Evercore Partners: Thank you. Neil could you comment on what you see as the biggest risk factors in the fiscal ’17 earnings guidance that you’ve given out today?
Neil Williams: Well, that’s a good question. I think the key components if you think about the online subscriber growth we’ve talked about for QuickBooks it’s a big number, it’s an aggressive growth rate and we feel pretty confident about that. We talked about the margin percentage and I mentioned that’s one of the areas where I feel like we have most control. Clearly we put this outlook out with concerns and with situations pretty much steady state in the global economy and in other external factors. Probably the biggest risk that I would think of is something external to Intuit that would happen in the market or what happens some of our customer or things like that. I think the things were embedded in the guidance we provided to give out to ’15 and our outlook for ’16 and ’17 have taken into account things that are in our control we feel pretty confident about that.
David Togut - Evercore Partners: Just as a quick follow up on that Neil in the QuickBooks Online subscriber target for ’17, how much of that number is from new subscribers versus transition of the desktop franchise.
David Togut - Evercore Partners: We definitely think the migration is going to continue to accelerate and there is some things we are going to be doing to do that, probably a fourth roughly of that number will come from our existing base moving over perhaps that’s what you would expect?
Brad Smith: It is, we do believe that’s pretty much the range that we have got in our sub growth right now for 2017. Obviously we will view it more successful if we can get more of those customers off the desktop into the cloud but we are trying to be realistic and pragmatic about what we think those customers will be ready to do in the next couple of years.
David Togut - Evercore Partners: Just on that point Brad, what made your functionality still not in QBO that’s in QB Desktop that you need to add to QBO over the next 12, 18 months?
Brad Smith: Yes, David obviously we have some work still to do in a few key areas, self-formed customization, job casting and inventory or the ones we hear the most from our small business customers as well as from the accountant. The good news is those are all on the roadmap. We did the acquisition of a small inventory company called Lettuce a couple of months ago and our teams are diligently working to integrate that more deeply into the customer experience. And so we believe by the end of this fiscal year we are going to have the majority of the key functionality that we need for the largest portion of our customers up and running in QuickBooks Online. In each of the different geographies, there is typically a small compliant piece that we have to have done in each of those countries and we believe we will have that fully in place by the end of this first fiscal quarter. So, we are well on our way and I don’t want that to be the reason that people think that the migration isn’t happening quickly because today we actually having a functionality for 70% of our QuickBooks customers on the desktop to move over. It’s simply our opportunity to earn the right to get them to move to the cloud and that’s where we are putting our energy.
David Togut - Evercore Partners: Thanks. Just a quick final question, Neil, do you have a view on possible fiscal ‘16 adjusted EPS, that’s the one number that’s not quite in the guidance.
Neil Williams: David, we are not going to talk about that at this point. We may give you some more direction at Investor Day possibly but we are not going to pen something down at this point. We want to have as much flexibility to get as many customers as we can over the next couple of years. So, we are not going to get more specific and to say that we expect double-digit revenue growth and margin expansion next year.
Operator: Thank you. Our next question comes from Scott Schneeberger from Oppenheimer. Your line is open. Please go ahead.
Scott Schneeberger - Oppenheimer: Thanks. Good afternoon guys. I have a three separate amount of questions. I think I was going to ask in the different order but just of that last question, Neil. I think last year you provided share count guide and I haven’t seen it in the release maybe I missed it. For fiscal ‘15 and then ideally if you had a thought on fiscal ‘17 and if not just to give us a feel for how aggressive you think you will be with buybacks after later than expected in fiscal ‘13 and ‘14? Thanks.
Neil Williams: Scott, the four we usually think about is the least offsetting any dilution from stock based compensation. So, we look at the shares we issue every year and that kind of provides a minimum level that we like to acquire and beyond that it just goes to what’s our availability, whatever opportunities we have to invest our cash during the year and other things that we may be considering or have in the pipeline. So, we don’t typically set a maximum level. We have got, I mentioned we got almost 2 billion remaining in our authorization but we never had a trouble getting more authorization if we have the opportunity based on funding and things like that. But I think of at least enough to keep the share count flat as a minimum level.
Scott Schneeberger - Oppenheimer: Thanks and just a follow-on to that, 10 acquisitions this year, 550 million and are those numbers right? As a group obviously small in size, so is that the M&A strategy going forward or might we see some spark? Thanks.
Brad Smith : Scott, we have a strategic game plan in each of our businesses and as you just pointed out our track record tend to be looking at talent or technology tuck-ins that accelerate our time to market to execute those strategies. So, if there is an opportunity that comes along that maybe larger in size and it made strategic sense, we wouldn’t say no but that’s typically not the kind of acquisitions we do. So, I think you can continue to anticipate these kinds of acquisitions and they really are adding acceleration to each of the business units.
Scott Schneeberger - Oppenheimer: Okay, thanks. And swinging over to operational guidance, Brad for tax for fiscal ‘15 I think 5% to 7% is the revenue guide. Could you give, as you have in years past, the breakdown individual federal returns software category share, TurboTax share revenue for return?
Brad Smith : Scott, we are going to dive a little deeper on that at Investor Day. It’s still the same four levers and we will show you what we anticipate in an outlook for fiscal year ‘15 at that time. So, I would like to just hold off on that if you don’t mind until we get to the end of September 30th and that will a reason for you to show us and we will get a chance to see and talk to you then.
Scott Schneeberger - Oppenheimer: Sounds good, I will be there and then last one and I might get the same answer but with regard to QuickBooks Online, last year at Investor Day, you said I think it was bridging for five year which would be I guess out of fiscal ’18, 2 billion incremental QuickBooks, U.S. 1 billion incremental QuickBooks global and now for fiscal ‘17, is there any change to that or is that consistent just on might be measuring apples and oranges but wanted to get a little clarity.
Brad Smith : Yes, actually Scott I’ll give you one on this I won’t make you wait till Investor Day.
Unidentified Company Representative : Thanks.
Brad Smith : So headline number one as your numbers are correct we have an inspirational goal of adding 3 million more QuickBooks customers by 2018. We’ve articulated today that we can see our line of sight to 2 million with high degree of confidence that we’re going to actually tell you today for 2017 I would also tell you that we’re pretty prudent and sometimes conservative and trying to make sure that we can put something out there that we can achieve. And so just anticipate that our team has a different goal than what we’re talking dealers our and our full commitment is to get to that 3 million about 2018. 
Operator: Thank you. Our final question for today comes from Jim MacDonald from First Analysis. Your line is open. Please go ahead.
James MacDonald - First Analysis : Good morning guys. Could you give a little more about the organizational changes that go along with your new components of online and desktop and how that works globally as well?
Brad Smith : Yes, Jim it’s Brad, happy to do that. What we ended up doing small business as we took what have been standalone business units, Small Business financial solutions, Small Business Management solutions which is wrote down in the QuickBook payroll payments and then demand for us in QuickBase and we’d say we not need to move to one small business ecosystem but the top priority being online global subscriber growth. And we brought all these businesses together, we reallocated our engineering to focus on the online platforms and then we basically put our energy and to making sure that we got rid of the redundancy where we end up in a Noah’s Ark model. Every one of those businesses had one of everything and when you put them together we ended up with three or four. And so we had some inefficacies there and it allowed us to reallocate resources against the things that would help us accelerate our global expansion, that was really the crux of the old structure is uniting these four individual businesses into one online ecosystem and putting all the energy in resources and to getting to the cloud globally. There is one other aspect of it Jim which is customer care. As you move to a new customer care model in a mobile world customers expect quality to be built-in, if you’re using a mobile app they don’t expect to have the call from one and if they do there is all kinds of new analog like day button from Amazon. So we put more energy into our customer care model for the future and we made some decisions to move out of pieces of customer care that we don’t think are core and we found good partners who will handle that piece for us and that impacted some of our organizational restructure as well. So, all that is under the context of more energy and more resources to online and global with mobile devices. 
James MacDonald - First Analysis: Great. And going back to somebody other questions as you add these experience all features to the desktop, you mentioned increasing attach on payments but what are your thoughts on attach broader than that for the desktop people as you kind of ease them into the cloud.
Brad Smith : Jim we just touched on important fees, we don’t think we’re pass out in terms of attach rate for QuickBooks Desktop. We do think however we have allowed things to get in the way of the customers being able to have more seamless experience and quite honestly our engineers have been, they haven’t been able to work on those things because if they did it would impact how we have to accounts for the revenue. So we’ve eliminated those barriers and we’re going to have the team focused on making that more seamless experience which allows us to get even improve attach rate in desktop while we build all the new step in QuickBooks Online. So your assumption is correct we should have the ability to continue to get a tax rate in payroll and payment in the desktop probably put all of energy into the cloud. 
Operator: Thank you. I’m showing no further questions at this time. Gentlemen, would you like to close with any additional remarks. 
Brad Smith: I just want to thank everybody, we know we hit you with a lot, we think very important and different information today if I can just summarize the full year we’re coming out of fiscal year ‘14 with accelerating momentum. We really like our trajectory and we’re making the decisions today to build an even strong future and I’m hoping that we’re going to get a chance to see all of you on September 30th in Mountain View for Investor Day where we share even more information and break this down and to be able to walk through it and talk to you if any question you may have but in the meantime everybody have a great weekend and we’ll speak with you soon.